Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Spectrum Pharmaceuticals, Inc. First Quarter 2013 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Shiv Kapoor, Vice President of Strategic Planning and Investor Relations. You may begin.
Shiv Kapoor: Thank you, Mercy. Good morning, and thank you for joining us today for Spectrum's first quarter 2013 financial results conference call. I'm Shiv Kapoor, Vice President of Strategic Planning and Investor Relations for Spectrum Pharmaceuticals. With me today are Dr. Raj Shrotriya, Chairman, CEO and President; Ken Keller, Chief Operating Officer; Brett, Acting Chief Financial Officer; Dr. Lee Allen, Chief Medical Officer; and other senior members of the Spectrum management team. Here is an outline of today's call. First, Dr. Shrotriya will provide you with the highlights in the first quarter and discuss our overall direction and strategy. Brett will then provide a summary of our first quarter financial performance. Following this, Ken will review commercial and pipeline progress of the company. And then we will open up the call to questions. Before I pass the call over to Dr. Shrotriya, I would like to remind everyone that during this call, we will be making forward-looking statements regarding future events of Spectrum Pharmaceuticals, including statements about the product sales, profits and losses, the safety, efficacy, development timelines and clinical results of our drug products and drug candidates that involve risks and uncertainties that could cause actual results to differ materially. These risks are described in further detail in our reports filed with the Securities and Exchange Commission. These forward-looking statements represent the company's judgment as of the date of this conference call, May 9, 2013, and the company disclaims any intent or obligation to update these forward-looking statements. However, we may choose to update them and, if we do so, we will disseminate the updates to the investing public. For copies of today's press release, historical press releases, 10-Ks, 10-Qs, 8-Ks, and other SEC filings and other important documents, please visit our website at www.sppirx.com. I now would like to hand the call over to Dr. Shrotriya.
Rajesh C. Shrotriya: Thank you, Shiv. Welcome to our first quarter conference call. As we announced in mid-March 2013, there was a change in anticipated orders for FUSILEV, one of our -- one of the 3 marketed drugs, which caused us to provide revised revenue projections for this year. Based on this, we took quick, decisive steps to manage our business in the short-term and strengthen our company for the long-term. Today our foundation remains strong with good opportunities for continued growth. Who would have expected 5 years ago that Spectrum would become a company with 3 approved oncology drugs and 3 NDA submissions by next year. I'm very proud of the accomplishments of our team and the way that they have strategically streamlined our programs. Because challenges and changes are ever present in our business, we have followed a diversification strategy so that our future growth and success is not dependent on any one product. We made several acquisitions since last year that will help grow our business going forward. In addition, we have been advancing multiple pivotal trials for our late-stage drugs like belinostat, apaziquone and Captisol-enabled melphalan, advancing them to key decision points. Further, we hired a number of key executives to strengthen our operational and commercial capabilities. As a result of the efforts of our dedicated and talented staff, we have established a company that's well positioned for the future. Before I hand the call over to Brett, I would like to introduce our new Chief Medical Officer, Dr. Lee Allen. A hematologist-oncologist by training, Dr. Allen brings a broad range of expertise and leadership in heading clinical developments, medical affairs and regulatory affairs. Lee will be intimately involved with the advancement of belinostat, melphalan and apaziquone as these product candidates near NDA submission. We're excited to have him on board and look forward to his contributions to the team. I will now hand over the call to Brett to discuss financials first. Following Brett, Ken will give an overview of our commercial and research operations. Brett?
Brett L. Scott: Thank you, Dr. Raj, and good morning to everyone on the call today. We closed the quarter with cash, cash equivalents and investments of approximately $163.4 million. Here are the results for the quarter ended March 31, 2013. All numbers are approximate. For the 3-month period ending March 31, 2013, we had total revenues of $38.7 million compared to $59.9 million in the first quarter of 2012. Product revenues were $29.3 million as compared to $56.8 million in the first quarter of 2012. FUSILEV sales were $11.8 million, ZEVALIN sales were $7.6 million and FOLOTYN sales were $9.9 million. The net loss was $2.8 million or a negative $0.05 per basic and diluted share as compared to net income of $46.5 million or $0.80 per basic and $0.71 per diluted share in the first quarter of 2012. On a non-GAAP basis, net loss of $3.4 million or $0.06 per basic and diluted share as compared to $27 million or $0.46 per basic and $0.41 per diluted share for the same period in 2012. Total research and development expenses for the first quarter were $12 million as compared to $8.9 million in the same period in 2012. On a non-GAAP basis, research and development expenses for the first quarter were $10.2 million as compared to $7.5 million for the same period in 2012. Selling, general and administrative expenses for the first quarter of 2013 were $22.3 million as compared to $18.3 million in the same period of 2012. In summary, our total revenues were $38.7 million and we ended the quarter with $163.4 million in cash, cash equivalents and investments. I will now hand the call over to Ken Keller.
Joseph Kenneth Keller: Thank you, Brett, and good morning, everyone. Today, I will focus my comments on the first quarter results and the progress we've made advancing and expanding our pipeline. In quarter 1, FUSILEV revenues was $11.8 million. In Q1, wholesalers reduced their orders for FUSILEV. Based on information currently available to the company from the third-party source IMS, utilization of FUSILEV outpaced Spectrum sales to wholesalers. As a result, wholesaler inventories have substantially declined in Q1. Looking at end-user demand from IMS, 75% of FUSILEV volume now resides in the clinic segment. While demand in the hospital segment has declined significantly, we are encouraged to report the demand in the clinic segment is relatively stable. At this time, wholesalers have not communicated to us what they expect to purchase in future quarters. However, looking at end-user demand as an indicator of anticipated sales to wholesalers, we believe wholesaler ordering should become more closely aligned to end-user demand. Today, our team remains focused on extending the number of clinic accounts purchasing FUSILEV and ensuring physicians understand its clinical profile and our commitment to providing a reliable supply. FOLOTYN revenues in Q1 were nearly $10 million. Year-over-year, FOLOTYN revenues grew from $9.7 million in Q1 of 2012 as reported by Allos in their 10-Q. As the first product approved for the treatment of relapsed or refractory peripheral T-cell lymphoma, FOLOTYN has established itself as a valuable tool in the treatment of this disease. Our team continues to focus on expanding the number of users and increasing the duration of treatment through physician, nurse and patient education. Since the acquisition of Allos, our team has executed a smooth transition and realized meaningful cost savings. ZEVALIN sales grew 34.5% year-over-year with the inclusion of ZEVALIN x U.S. sales. As you know, Spectrum acquired the worldwide rights to ZEVALIN in April of 2012. Our promotional efforts for ZEVALIN in rest of world were initiated in the beginning of this year and Q2 will be the first full quarter our global team is operational. In the U.S., ZEVALIN units increased quarter-over-quarter in Q1. I'll now turn to an update on our development program. We have 6 growth catalysts to report on. Number one, our team is working diligently on preparing the new drug application for belinostat. Belinostat is our novel HDAC inhibitor. We expect to submit the application this summer. As a reminder, we completed the pivotal study of belinostat in relapsed and refractory peripheral T-cell lymphoma last year and previously announced the outcome met the special protocol assessment prespecified endpoints. In January, the safety results of this study were shared at the T-cell Lymphoma meeting. The efficacy results will be shared at an oral presentation at the upcoming ASCO meeting. We believe belinostat will offer a differentiated portfolio from other HDAC inhibitors and, if approved, would provide physicians with an attractive new option in the treatment of this difficult disease. Our second catalyst is our newest product candidate, which we acquired in March, Captisol-enabled melphalan. It received orphan drug status from the FDA and it is currently enrolling in a pivotal trial as a treatment for multiple myeloma patients before they receive an autologous stem cell transplant. The Captisol formulation of melphalan eliminates the propylene glycol that is in melphalan today. The inclusion of propylene glycol has been reported to increase risk of kidney and cardiac toxicities. It is expected that our Captisol formulation of melphalan will allow for longer administration durations and slower infusion rates. This potentially would enable clinicians to safely achieve a higher dose intensity of chemotherapy, which may lead to better therapeutic outcomes. This in turn opens up many possibilities which our clinical team, with the help of investigators, will pursue. Pending completion of the pivotal trial and the FDA review process, Captisol-enabled melphalan would be the only drug approved as a conditioning agent for stem cell transplant in multiple myeloma. This market, based on third-party sources, is approximately $130 million in the U.S. The trial design has been approved by the FDA. It is a 60-patient multi-centered study and we are pleased to report that accrual is going very well. We expect the pivotal trial to be fully enrolled this year and we plan on submitting an NDA in 2014. Catalyst number 3: In September, we initiated an important study of ZEVALIN called the ZEST trial in the treatment of diffuse large B-cell lymphoma. Diffuse large B-cell lymphoma is the largest population within non-Hodgkin's lymphoma. It is a more aggressive disease than follicular lymphoma and unfortunately approximately 25% to 30% of patients succumb to this disease in the first 2 to 3 years. The standard treatment of diffuse large B-cell lymphoma is combination chemotherapy plus immunotherapy. The ZEST trial tests the safety and efficacy of ZEVALIN consolidation after standard therapy. The primary endpoint is overall survival at 2 years. This trial was designed based upon promising results of a number of Phase II trials. Our fourth catalyst is SPI-2012, our novel, long-acting, conjugated form of granulocyte colony-stimulating factor protein. It has shown a similar in vitro and PK profile compared to pegfilgrastim but 3 to tenfold greater in vivo potency. In April, we opened the study and enrolled the first patient. This Phase II trial is a head-to-head open-label, dose-ranging study. The goal is to determine the best dose to move into Phase III pivotal studies. The worldwide pegfilgrastim marketplace was greater than $5 billion in 2012. Based on its profile, we believe SPI-2012 has the potential to be a highly competitive product in this category. There is one earlier stage program I want to update you on. This is catalyst number 5. It is SPI-1620, our exciting endothelial B receptor agonist. A Phase I dose escalation study demonstrated encouraging results in heavily pretreated patients and in 2013, we plan to start Phase II. This drug has broad potential across many different tumor types. We think of this as a potentiator for chemotherapy across solid tumors. It has a simple and elegant mechanism of action. The architecture of tumors differs from normal vasculature. Blood vessels in growing parts of tumors are devoid of smooth muscle and are rich in endothelial cells. SPI-1620 is an endothelial B receptor agonist that appears to selectively dilate tumor blood vessels and increase blood flow and chemotherapy delivery to the tumor site. This may enhance the efficacy of chronic chemotherapy and possibly improve its safety. Our Phase II program will attempt to answer these questions. Now our last catalyst that we want to talk about today, Number 6, is apaziquone. As we have previously stated, we intend to file a new drug application for apaziquone in 2014. That will be our third NDA in the next 18 months. Currently, we are awaiting input from the FDA on the protocol design for a new supportive study. The final data will be submitted to the FDA following completion of their NDA review. In summary, our near-term development catalysts are real. They are tangible. They fit well into our existing infrastructure. The potential launches of belinostat and melphalan will require minimal increases in expenses and they provide short-term growth opportunities for us. Our longer-term catalysts, especially SPI-2012, our long-acting granulocyte colony-stimulating factor; SPI-1620, the endothelial B receptor agonist; and the ZEVALIN ZEST trial, if successful, are potentially blockbuster opportunities. We are pleased with the progress we are making and we look forward to providing you with future updates. Now I will turn the call back to our Chief Executive Officer, Dr. Raj Shrotriya.
Rajesh C. Shrotriya: Thank you, Ken. As you can all see, we have a diversified base of revenue-generating products and an exciting and promising pipeline. We remain clearly focused and we continue to develop and look for potential opportunities for growth through a sound and robust business strategy. And at Spectrum, our long-term goal and long-term vision is to continue to foster our business model and strategy alongside a relentless commitment to our patients and pursuit for excellence. We will now open the call to questions.
Operator: [Operator Instructions] Our first question is from Adnan Butt from RBC Capital Markets.
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: The first one is on FUSILEV. Could you say a bit more on FUSILEV demand, anything on units, any color on what end-user trends look like and how it's trended this year? That would be helpful.
Rajesh C. Shrotriya: Ken?
Joseph Kenneth Keller: Sure, thank you for the question. So let me get a little bit more granular on FUSILEV. Based on communications with our wholesalers, they've informed us that inventories have declined in the first quarter 25% to 35%. And so based on their information, we believe right now there's approximately 300,000 vials in inventory. Now when you look at demand pull-through, and that's the actual utilization of the product, we believe, based on IMS data, that the pull-through demand in the first quarter of the year was approximately 310,000 units. So that's 310,000 units of pull-through and inventories have declined 25% to 35% in the first quarter.
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: So Ken, are you essentially saying that there's about 4 weeks worth of inventory in the channel? And if so, is that kind of the stable level to expect?
Unknown Executive: Is that 4 weeks of inventory?
Rajesh C. Shrotriya: We can't comment on FUSILEV.
Joseph Kenneth Keller: So the inventories right now, what we know from the wholesalers, is that 300,000 units are in the channels right now and, in the first quarter, physicians and users purchased from the wholesalers approximately 310,000 units. So those are the 2 numbers you should lock on.
Rajesh C. Shrotriya: Adnan, I think the important thing to remember is that the end-user demand, that used to be stable. I think that is what is important. Whereas the hospital sales have declined but the -- our end-user demand remains stable, as indicated by the IMS data.
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: Sure. So a question on -- again, on product demand. Just generally, have you seen any impact from sequestration on any of the sales for your products?
Joseph Kenneth Keller: No. It's difficult to say if we've seen any or not. When we look at the segments, we've got the hospital business and the clinic business. The clinic business is relatively stable. That's -- if there was going to be any impact, you'd think you'd see it there. And our clinic business, Q1 from Q4, did not move much. In fact, it declined but it declined 2.5%. And so we're not seeing much impact in the clinics at all.
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: Okay. And then in terms of guidance, the company had previously given guidance. Any comment on guidance for 2013?
Rajesh C. Shrotriya: Yes. We expect -- what guidance we have given, we expect that we are going to meet that guidance level. We are not changing that guidance that we have previously provided.
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: Okay. And then a final question then I'll get back in queue. For 2012, when do you expect Phase II data?
Joseph Kenneth Keller: For 2012? So for SPI-2012, the Phase II study has started. We've got our first patients on the study. It's an important one for us. So I won't comment on when we can expect that study to be fully accrued but it's a top, top, top priority for us.
Operator: Our next question is from Joe Pantginis from Roth Capital Partners.
Joseph Pantginis - Roth Capital Partners, LLC, Research Division: Maybe just a little bit -- a follow-up on FUSILEV, if you don't mind. So with regards to -- you've mentioned, Ken, that the demand is still relatively stable in the clinic setting. So if I recall correctly, I think you guys were addressing maybe 50% of that market. So when you combine that with the initiatives you were putting in place towards the beginning of the year, what kind of impact have you seen in being able to target physicians that have not yet prescribed FUSILEV or any of your other initiatives?
Joseph Kenneth Keller: Sure. So in the first quarter, we absolutely are gaining new business in some accounts. In some accounts, that business goes away. Overall, the clinic is really solid. As I've said, the business, Q1 to Q4, is relatively unchanged. It declined, according to IMS DDD data, 2.5%. So it's really, really steady. Joe Turgeon, the Chief Commercial Officer is with me. And Joe, you might want to give a little color on what you're seeing out in the field.
Joseph Turgeon: Yes. I think that we are -- Joe, good question. We have very targeted approach now. I do know -- I have data that shows us where the business is and where it isn't. Our reps at the end of January were trained. So we have signed some new businesses, I will tell you, and we're targeting signing more going forward. And I feel good about where we're going with our strategy.
Joseph Pantginis - Roth Capital Partners, LLC, Research Division: Okay, that's helpful. And then maybe I could just switch gears quickly to ZEVALIN. You did mention -- obviously, you're starting to see contribution from the x U.S. markets now. First, is it possible to break down the amount of revenue, U.S. versus x U.S.? And then maybe can you give some feedback from the field since at least my impressions based on physician feedback is that ZEVALIN is a much more well-known product in Europe. So how you might view the uptake now that you have the rights and are actually marketing the drug?
Joseph Kenneth Keller: Sure. So ZEVALIN in Europe, the team was trained and got up and going really at the beginning of this year. So it's early to really know what impact they're going to have. Anecdotal stories are great but we got to wait to see the true impact. We're happy to say, though, in the U.S., when you look at Q1 sales and the number of patients compared to Q4, that number is up slightly. So we're headed in the right direction there.
Operator: Our next question is from Reni Benjamin from Burrill & Company.
Reni J. Benjamin - Burrill & Company, Research Division: Just a couple of them. I guess one, more a housekeeping question. The $9.4 million in licensing revenues is higher than we typically see it. Can you just give me some color as to why? And do we expect that going forward?
Rajesh C. Shrotriya: Yes. Maybe Brett, can you...
Brett L. Scott: Yes, I'd be happy to speak to that, that's a good question. In Q1, we amended our agreement with Allergan and, as a consequence of that amendment, we were able to accelerate the recognition of some license revenue that we had been amortizing so that we actually recognized an additional approximately $6 million in the quarter, of licensing revenue. That was a onetime event.
Reni J. Benjamin - Burrill & Company, Research Division: Okay. So going forward, that amortization that we had originally had for previous quarters, we should not be counting on that going forward?
Brett L. Scott: Yes, it will be substantially reduced.
Reni J. Benjamin - Burrill & Company, Research Division: Got it. Okay. Switching gears to FUSILEV, really quick. I'm just trying to understand based on kind of what you mentioned before about the 300,000 vials in inventory and the 310,000 pull-through, just roughly it seems to me that you're already at steady-state. Is that incorrect? Am I not thinking about that correctly? And if not, why not?
Joseph Kenneth Keller: It's -- we don't want to project what levels of inventory wholesalers will be comfortable holding. So it's difficult, we're not going to make statements on that. I think the key is demand in the clinics and overall is relatively stable and we feel good about that and that's where our focus is. How wholesalers manage their inventories, that's something that they would have to make determinations on. I don't want to guess at that.
Reni J. Benjamin - Burrill & Company, Research Division: Okay. And when do you think the wholesaler -- I mean you may have to guess here, too, but you can decline the question. When do you think the wholesalers inventory and the script demands maybe aligned? I believe in previous guidance, you mentioned that it could take 2 quarters. Are you still thinking along those lines or do you think based on the new data that it could be faster?
Joseph Kenneth Keller: Based on what we see right now, I would expect that purchases match end-user demand sometime in the second half of the year.
Reni J. Benjamin - Burrill & Company, Research Division: Okay. And just a final question regarding one of your newest assets, the Captisol-enabled melphalan. Can you just take us through a little bit of the trial design? How many patients are being enrolled? What are the endpoints? And is this under an SPA by chance? And when do you expect the data?
Joseph Kenneth Keller: Yes. So it is under an SPA. The trial is a 60-patient study, agreed upon by the FDA. So it's a very small study. I'm happy to say that we have a significant number of those patients already enrolled. So we feel really good about where we are. That study we expect to be fully enrolled this year, by the end of this year. And we expect to file the NDA next year. The trial design -- you know what, I'll get back to you on that. I don't want to misstate exactly what it is. But it's going very well. We're very happy with that program.
Operator: Our next question is from George Zavoico from MLV & Co.
George B. Zavoico - MLV & Co LLC, Research Division: To Dr. Allen, welcome to Spectrum Pharmaceuticals.
Lee F. Allen: Thank you.
George B. Zavoico - MLV & Co LLC, Research Division: A question regarding -- to Ken specifically, regarding the -- what you've implemented. You've alluded to some of the key things that you've implemented but specifically, could you say what they are to prevent the kind of surprise that you had in March?
Joseph Kenneth Keller: So thank you for asking the question. So I'll answer it and I might hand some stuff over to Joe Turgeon, our Chief Commercial Officer, as well. But here's what we're doing right now. Joe has built a market research team here that we're very proud of. It's a really strong group, a seasoned group that worked in oncology for many, many years. They came aboard at the beginning of this year and they have now purchased IMS data and DDD data. We've got reports, we looked at numbers, demand every single week. I'm looking at Joe, probably every single day. We have a very granular view of exactly what's happening in the clinics and the hospitals across the board. So we feel really good about that. And Joe's team is working closely with the wholesalers, so we tie it altogether. So that's what we've done so far and we'll continue to work and upgrade things as we go forward.
George B. Zavoico - MLV & Co LLC, Research Division: Well, what about on the sales side? It's one thing to know where things are going but you said you did a -- trained the sales team? Is that pretty much in place? Are you going to hire some more this year?
Joseph Kenneth Keller: You know what, I'll turn that over to Joe.
Joseph Turgeon: Yes. I think 2 things I'll mention. Number one, the sales team is in place. That's always a moving target, some people get promoted, move on and things like that. But yes, we have a trained sales force. We have targeting that we've never had in the past, where we know exactly where we're asking them to go on a daily basis, weekly basis. So we're going where the business is and isn't. We've got 40 reps on the street now working for us and the fixed regions are complete. Now I want to add, too, I've also hired a world-class marketing lead, somebody who really is good at this. And we have a great approach from a marketing standpoint that we're implementing.
George B. Zavoico - MLV & Co LLC, Research Division: I presume that's going to include physician education, that sort of thing. Advertising, perhaps. Perhaps to physicians and perhaps even to patients?
Joseph Turgeon: We've -- the new marketing lead and I are looking at many things that will be very effective, I think, as we move forward. I'm really pleased with the plan we got moving forward.
Joseph Kenneth Keller: If there's one thing I could add, I think it's going to have a real impact later on in the year. Joe actually has built a team of nurse educators on top of the sales folks that he spoke about. And those nurses, one of their areas of focus is to look at FOLOTYN and really help nurses manage mucositis. And the key to that is -- it's a real lost opportunity and it's a tough thing for patients when they respond to FOLOTYN and they have to be taken off therapy because of mucositis. With the right kind of education we can keep patients on that drug responding longer. And that nurse team was really hired in just the first quarter. So I think that will help a lot.
George B. Zavoico - MLV & Co LLC, Research Division: Because of that, would you expect FOLOTYN sales to increase toward the end of the year?
Joseph Kenneth Keller: We don't want to -- I'm not going to really...
George B. Zavoico - MLV & Co LLC, Research Division: No. I understand. You don't have to say. Okay. One asset you didn't mention was RenaZorb. Would you -- where is that in your catalyst list?
Rajesh C. Shrotriya: So George, RenaZorb, we have completed Phase I trials. We have developed protocols for Phase II trials. What we are looking at are other alternatives. There are some companies that are focused in renal disease and especially Japanese partners and some European companies, and we are right now looking at our options with regard to RenaZorb.
Operator: [Operator Instructions] Our next question is from Michael King from JMP Securities.
Carter L. Gould - JMP Securities LLC, Research Division: This is Carter, on for Mike. 2 real quick questions. First on FOLOTYN, can you give some color on how you're seeing the market share and duration of use evolving, particularly since you've taken over the product? And secondly, if you could give some additional color on the SG&A spend and how -- specifically if this is a good run rate or maybe how that might move towards the latter half of the year?
Joseph Kenneth Keller: Okay. So I'll take the first part and I'll hand the second part over to Brett. So in terms of FOLOTYN, we actually look at market research at certain times during the year. The challenge with that medicine is it's a niche product, PTCL is a small disease. So I will never have the granularity they'll have with FOLOTYN and other products. Our focus is to expanding the length of treatment. We haven't seen a big difference right now but the nurse team, which is a big part of it, was just put in place. So hopefully, at another call, when that market research is in, I can give you some more granularity there. And...
Brett L. Scott: Yes. So on the -- Mike, on the SG&A question. As always, we do our best here to be fiscally prudent and manage expenses. With regards to what's going to happen towards the end of the year or the rest of the year, we haven't given specific guidance so I don't feel comfortable speaking to that right now.
Joseph Kenneth Keller: One last clarification I need to make, and this is Ken. Earlier, I said in the affirmative that melphalan, the study was under an SPA. It's not under an SPA. But it is a 60-patient study. The study is agreed upon with the FDA and we're well on our way to fully accruing it this year.
Operator: We have no more questions. I will now like to turn the call over to Dr. Raj Shrotriya for closing remarks.
Rajesh C. Shrotriya: Thank you. In conclusion, I'm proud to say that today, Spectrum has 3 FDA-approved anticancer drugs on the market that help cancer patients daily. In past years, tens of thousands of cancer patients have been helped by the drugs that we market. In addition, the revenue we generate from these drugs helps fund the development of drugs of the future. During the next 18 months, we have possibility of filing 3 new drug applications with the FDA. If approved, they would add significantly to our growth, revenue and profitability. In addition, novel drugs like SPI-2012, SPI-1620, currently in Phase II clinical trials, if approved, could have blockbuster potential. In the meantime, we are extremely busy laying a solid foundation for future growth of the company by recruiting the best talent that we can find and by acquiring the assets that could further fuel the growth of the company. I thank you for your interest in Spectrum and for participating in our conference call today. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. You may now disconnect. Everyone have a great day.